Operator: Thank you for standing by. This is the conference operator. Welcome to the Element Fleet Management Fourth Quarter and Full Year 2020 Financial and Operating Results Conference Call. . Element wishes to remind listeners that some of the information in today's call includes forward-looking statements. These statements are based on assumptions that are subject to significant risks and uncertainties, and the company refers you to the cautionary statements and risk factors in its year-end and most recent MD&A as well as its most recent AIF for a description of these risks, uncertainties and assumptions. 
Jay Forbes: Thank you, operator, and thanks to all of you for joining me, Vito and our incoming Chief Financial Officer, Frank Ruperto, on the call this evening, which we intend to discuss Element's fourth quarter and full year 2020 results; the many successes we've achieved as an organization in 2020 and the early progress in the first 2 months of 2021; and our outlook for the balance of the year and beyond, particularly with respect to Element's growth strategy, our return to capital -- to our shareholders and the opportunity set that presents itself in the form of electric vehicles and the gradual penetration of our clients' fleets over the next decade.  Before I begin discussing our results, I do want to acknowledge the continued presence of COVID-19 in our communities and express my heartfelt gratitude on behalf of everyone at Element Fleet Management to the health care professionals and so many other essential workers who continue to brave the front lines of the pandemic and advance the global vaccination effort.  While Element's business has not gone unscathed by the economic fallout from COVID-19, I think our financial and operating results for 2020, inclusive of the fourth quarter, truly bore out the resilience of our business model and provide a healthy starting point for our profitable revenue growth ambitions this year. Element's growing base of over 5,500 loyal blue-chip clients is diversified across 5 countries, over 700 industries and approximately 1 million vehicles under management. The services we provide to all of those clients and their vehicles are essential, mission-critical to the clients' operations and enterprise, generating and sustaining revenues and fulfilling their commitments to their customers and stakeholders. The quality and diversity of our client base and the integral nature of our assets and services underpin the strength and durability of Element's 2020 performance against the backdrop of this global pandemic. 
Vito Culmone: Thank you, Jay, and good evening, everyone. I'm pleased to be with you to talk through what we feel are a really solid set of Q4 2020 operating results, bringing to close what I would describe as an incredibly resilient fiscal year 2020 for Element and setting the stage for profitable revenue growth on top of our scalable platform in 2021.  Before I dive into the quarter, a few full year 2020 highlights from my perspective. And some of these are highlights because they're against the backdrop of COVID-19 and all of the economic uncertainty that stirred up.  First of all, on a full year basis, our adjusted operating income in fiscal 2020 amounted to $501 million, representing only a 2.4% decline versus fiscal year 2020. This is remarkable and demonstrates the earnings power embedded in this business model fueled by the benefits of the transformation program. The business generated $449 million in cash available for distribution. And as Jay noted, on the back of our October increase in dividends and NCIB announcement, we launched into our share buyback program. 
Jay Forbes: Thank you, Vito. As all of you know, Vito has been at the heart of everything that Element has accomplished since he joined us as CFO in 2018 as my first hire. He's provided vital leadership, sound strategic counsel and important expertise. What's more, all of that comes with a smile and a warm and engaging manner that makes Vito a joy to be around. We're stronger as an organization for all that Vito has done for and with us.  As you may have seen in the news last week, Vito will be leaving Element this month to begin a new role and a tremendously exciting opportunity as the CFO of MDA. Like Element, MDA is that increasingly rare breed of a proudly Canadian company that is an industry leader in its field. Personally, on behalf of everyone at Element and all of our stakeholders, I want to say thank you, Vito, for all of your contributions to our success, and we wish you continued success of your own in the next chapter of your career.  Coincident with Vito's departure, we formally welcomed Frank Ruperto into the role of Executive Vice President and Chief Financial Officer of Element. Frank joined us several weeks ago, and we're fortunate to have had Vito and Frank overlap for a bit of time as the coleaders of our finance function. Consequently, Frank is very well positioned to receive Vito's handoff shortly and to carry the baton for Element.  Frank joined us from Rayonier Advanced Materials, a New York Stock Exchange-listed industrial company, where Frank served for many years as CFO and more recently led the company's core business unit. With proven experience as a public company CFO, Frank brings over 30 years of expertise in business and finance as well as proven capabilities spanning strategic planning, investor relations, capital markets, commercial and operations leadership and enterprise risk management. Frank's skills and expertise will be invaluable as we aggressively pursue organic growth now that we have successfully completed our transformation.  I spent a good deal of time getting to know Frank since we first met late last year during the interview process, and I can tell you he is approachable, collaborative and humble. Frank is a highly curious individual who asks great questions and has, I know, already rolled up his sleeves to work alongside his colleagues and with his team to enable growth and continuous improvement at Element.  Frank, I'd offer you a few minutes to offer up some initial thoughts of your own.
Frank Ruperto: Well, thank you, Jay. I appreciate the generous introduction, and I'm thrilled to have the opportunity to join Element at such an exciting time for the business. I want to say thank you to Vito for your time and advice helping me up the learning curve these past number of weeks, and I would extend those same thanks to all of my executive colleagues at Element and the senior leaders I've had the opportunity to work with so far. I can say, unequivocally, that Vito has put together a strong finance team that has the capabilities to drive Element to reach its goals.  I joined Element having learned a lot about the company and the culture over the course of the interview process. Importantly, I was specifically attracted to the organic growth opportunity the business has identified. Having worked with many companies as an adviser as well as having sat in the CFO and business leadership chairs, Element is unique in its ability to target and execute on an organic growth initiative that can deliver on its growth objectives and commitment to shareholder value.  I don't think I fully appreciated how achievable that opportunity was until I got here last month and have spent time in the business. Element's value proposition for self-managed fleets is really incredible, in my view. And the untapped market in the U.S. and Canada alone is more than 3x the size of our current global net revenue. So there's no shortage of runway ahead of us.  Mexico and ANZ combined add up to an even greater self-managed opportunity, and we're well on our way in those geographies. There's also the macroeconomics of COVID making our value proposition attractive for prospects, especially in assisting companies access cost-efficient funding and enhance their liquidity through our financing platform.  In addition, there are many sources of revenue growth independent of converting self-managed fleets into clients. For instance, the continued delivery of transformation initiatives, existing client retention and winning managed fleet clients from other FMCs, improving client profitability and providing our full portfolio of services to more of our clients and opportunistically identifying and onboarding additional mega fleets.  Finally, the strong cash flow-generating capabilities of the business allow for a significant and ongoing return of capital to shareholders through our dividends and share buyback activities. This return of capital provides investors with a low-risk income stream that they can redeploy and turn as they see fit.  Suffice it to say, I'm energized by being here. I look forward to meeting our shareholders, prospective investors and analysts in the days and weeks ahead, and I'm truly grateful for this opportunity.  With that, Jay, back to you.
Jay Forbes: Thanks, Frank. And again, welcome to the team. With 2020 behind us and all 3 objectives of our 2018 strategic plan crossed off the list, we entered 2021 with the benefits thereof: a robust and scalable operating platform, a true investment-grade balance sheet and an undivided focus on our pure-play fleet management business.  Yet the completion of transformation has a less obvious but no less valuable benefit, the considerable resources and capabilities that were concentrated on transformation for more than the last 2 years are all being redirected at our new strategic priorities. The aggressive pursuit of organic growth in all of our geographies and demonstration of the scalability of Element's transformed operating platform by magnifying 4% to 6% annual net revenue growth into high single-digit to low double-digit annual operating income growth; the advancement of a capital-lighter business model by increasing service penetration and strategically syndicating fleet assets enhancing our return on equity; and the generation of a high, single-digit to low double-digit annual free cash flow growth and predictable return of excess equity to common shareholders by way of growing dividends and share buybacks.  We have chosen Driven For Growth as our rallying cry in 2021, signaling our new central purpose, the sizable market opportunity that's available to us and our cultivated state of readiness. It also embodies the momentum we can feel in our transformed organization. We're not just ready to grow our top line. Profitable revenue growth is a primary objective of this organization in 2021.  I refer you to my quarterly letter to shareholders published as part of our press release earlier today, where I've set out my views on a number of dimensions and angles to our 2021 growth ambitions, not the least of which are the headwinds and tailwinds generated by knock-on effects of the pandemic. These are influences emerging from semiconductor availability to use vehicle prices to foreign exchange expectations. We've proven the soundness of the good ship element to weather far worst storms earlier last year and will stay our course again in 2021, delivering for our clients, our people and our investors.  To address one of those knock-on effects of the pandemic here now, the global semiconductor shortage affecting motor companies' production capabilities remains a fluid situation given the unprecedented nature of the circumstances. What we know today is that Element's client order volumes placed in January and February of this year are higher than in those same months in any of the last 3 years.  Client indications of ordering activity for this month of March suggest that trend will continue. We expect that there will be some delays in manufacturing these orders that we have received and that, consequently, approximately $100 million of originations could slip from the first half of this year into the second half. And we don't expect any material financial impact to arise from this delay in originations.  A second topic that has gained momentum during the pandemic is the growing commitment to ESG and sustainability, in particular, across businesses, governments and industries. Element's inaugural ESG report is approaching readiness for publication next quarter. At the risk of front-running the environmental pillar of that report, I want to make a few comments about the growing attention being paid to electric vehicles in the context of our business.  As the fleet solutions market leader everywhere we operate, Element is strategically well positioned to support our clients and to lead our industry throughout the gradual electrification of automotive fleets over the next decade, and we're prudently investing to maintain and to improve that position. We have the inside track by virtue of our experience in New Zealand, where roughly 2% of the 29,000 vehicles we manage are battery electric or plug-in hybrid electric vehicles. At the same time, our strategic alliance with Arval affords us the benefit of their fleet management experience in Europe, where both the EV products on offer and the supporting charge infrastructure are further ahead than that of North America and Australia. Our intelligence gathered from these proving grounds tell us that the opportunities associated with increased adoption of electric vehicles, excuse me, by our clients far outweigh the risks to our business model. And that, in fact, the sooner the technology and infrastructure are ready at scale in our operating geographies, the better.  Fundamentally, the struggle for fleet operators evaluating the opportunity to electrify is the complexity and the duration of the process. Cost-effective EV adoption requires ongoing data and intelligence gathering and analysis, incremental implementation and persistent change management. Element's value proposition as a leading provider of outsourced fleet services and solutions is grounded in taking that kind of complexity off our clients' plates and managing it for them cost effectively.  Our compelling value proposition centers on data-driven strategies to lower clients' total cost of fleet operations and the consistent superior client experience regardless of our clients' changing needs, which eliminates fleet-related administrative burden. In other words, the fundamentals of a fleet transition from internal combustion engines to battery-powered vehicles requiring analytics and change management make Element's standing value proposition even more compelling.  The second challenge to fleet electrification during -- being the duration of the process is farther from our control. However, we're already taking proactive steps to advance our clients' interest on this front. Frankly, these are fully aligned with our own interest in terms of net revenue growth and our ESG agenda. For example, we're rapidly progressing discussions with electric vehicle manufacturers, both traditional OEMs and new entrants to the space, which would see Element committing to acquire EV volume in exchange for committed access to production capacity, much of which is slated to begin coming online towards the end of this year.  We're also advancing working relationships with various infrastructure providers to ensure that the plans we craft to meet our clients' fleet electrification needs can be implemented and are sustainable. And we're cultivating our industry-leading network of service partnerships to ensure the consistent superior client experience is no different for drivers and fleet managers of electric vehicles than it is for internal combustion engine vehicles.  As fleet EV penetration grows in all of our geographies, the attributes that make us the partner of choice for our clients today also ensure Element's place as the market-leading electric vehicle fleet manager everywhere we operate. We are working with dozens of clients on use case assessments, pilot programs and transition planning, and we have all the necessary capabilities to seamlessly add EVs to their fleets and to manage the same today. There are currently approximately 500 EVs in our global fleet, excluding New Zealand, and another 500-plus in New Zealand itself. Unfortunately, the present state of play suggests that the top and bottom line benefits to Element from fleet electrification will remain modest in the short and medium term, but we're working with our clients and supply chain partners to change that.  In closing, 2021 will be another inspiring year for all of us at Element as we consistently deliver for our clients, return significant capital to our shareholders, grow our industry-leading transformed business and continue to create long-lasting value for all of our stakeholders.  With that, let's open the floor to your questions.
Operator: . The first question comes from Paul Holden with CIBC.
Paul Holden: So Jay, you mentioned orders in January, February and trending in March very positively. And I believe what you said is it is the highest you've seen in the last 3 years. And I guess, the orders are different than originations. But if I look just back to Q1 last year, it was a very strong number on originations partly because of the benefit of Armada volume. So if I'm understanding you correctly, even excluding Armada today versus a year ago, you're still looking at strong order growth.
Jay Forbes: Yes. Like-for-like comparison, Paul, 100%. The number of orders that we have received thus far in January, February are the highest that we've received in any of the last three years. And as we continue to explore conversations with clients regarding March orders and as the March order book continues to build, it would appear that, that trend is continuing.  So a very strong signal. How much of that is attributed to the chip shortage and our clients wanting to accelerate the 2021 order into the first quarter, hard to tell. But again, an encouraging side in terms of the robust demand that we're seeing within the client base in terms of orders that obviously will become originations.
Paul Holden: Okay. Okay. That's an important point. And then I just want to talk a little bit about the recovery or potential recovery then in servicing income. So I mean, you showed some useful data in your supp pack, but it really only goes up through December. If I look at mobility trends, sort of those reported, Apple, Google, et cetera, everything people are looking at, it's showing a nice uptick since the end of 2020. So I'm wondering if your usage data and miles driven data that you're tracking is substantially in line with that sort of, let's call it, low double-digit increase since the end of the year.
Jay Forbes: We are encouraged by what we're seeing in the early days of 2021 in terms of that trend line that was quite evident after the significant dip that we took in the second quarter of 2020, the resulting trend line that we have been seeing in the business with the gradual return of consumption of services, maintenance, fuel and others, throughout that period. And so again, we're encouraged by what we're seeing here in early 2021. And we do think that the success of the vaccination program will allow the economy to come back fully. And with that, the full resumption of activities by our clients.  Importantly, we continue to see no signs within the fleet in terms of de-fleeting. So our clients are maintaining the same level of vehicle inventory that they have traditionally maintained. And beyond the few isolated cases that we've talked about in past calls, again, there's no systemic change in terms of fleet size within the client base.  So again, no systemic change to the business model as a consequence of the pandemic. The demand for services remains strong. And with the continued resumption of activities within the economy, we would expect that we will get back to, at least, the level that we were before and be able to grow beyond that.
Operator: The next question comes from John Aiken with Barclays.
John Aiken: Jay, thank you for the information on the new client wins. Just a couple of questions on that. First, when we look at the global win, I think it was the oil services player, I'm assuming that, that holds leasehold receivables, and that contract will then fall on over the next couple of years as the -- I guess, as the leases get renewed.  But on the flip side, when you talk about the player in the U.S. with the energy assets that's basically a services contract, does that come on board on day 1? Or do we have, I guess, a gradual rollout on the revenue similar to what we may see if this actually was on leases?
Jay Forbes: Yes. Your understanding is bang on. So when we acquire a new client that is -- in particular, a client that is currently being served by another FMC service provider, we earn into their fleet assets over time. So as they replace the existing fleet that is held by the other FMC, those new originations come on to our book, and we build that lease book over a period of time. So envisioning us earning our way into the full book over a 3, 4, 5 year period.  When we acquire a new client as it relates to services only, we usually onboard those and start generating revenue with them within 1 to 2 quarters. So they ramp up very quickly. The one exception that I would point out in terms of that is a self-managed fleet. So if we've identified a self-managed fleet, have worked with them to understand the benefits of outsourcing, their fleet financing and management to us, in those situations, it's not uncommon for us to write a check and to buy out their position in their fleet at fair market value and to take that asset on our books as a financing asset day one. And so we would be able to effectively build the book and start generating both financing and services income within the first quarter or 2 of having signed the contract.
John Aiken: Thanks for the clarification, Jay. If I may, just one question further. When you talked about the avenues for growth on revenues from North America, one of the bullet points, I think, was improving client retention models. Now Jay, I thought that the client retention levels had been brought back to where they were previously. But is this an acknowledgment that you can actually improve upon that even further? And what level of upside can we see from incremental retention? Because again, I thought that, that problem had already been solved.
Jay Forbes: Your understanding is correct. That problem had been solved in that having increased the rate of attrition, client attrition when we were experiencing our difficulties back in 2017, early 2018, we built our client retention level back to what is typically viewed as the industry norm, plus or minus 98%.  The challenge that we have put to our team, given the investments that we've made in our business, given the superior client experience that we're able to offer, is an opportunity to redefine that level of client retention and to indeed increase it and in particular, opportunities to increase that in the U.S. and Canada. In Mexico and in ANZ, we actually operated at an even higher level of client retention than the 98%. And so the challenge to Jim Halliday and the operations team in Canada and the U.S. is what avenues are available to us to take a level of retention, which is admirable for most industries, but are actually better given the superior operating platform that we have to offer our clients and prospective clients.
Operator: The next question comes from Mario Mendonca with TD Securities.
Mario Mendonca: Jay, first, a question on the share-based compensation. The number was obviously kind of large this quarter. Can you describe what happened in Q4 '20 that would have caused the increase relative to what we've seen over the last few years?
Jay Forbes: This would be a perfect question to introduce our new CFO, Frank Ruperto. Frank, why don't you fill that one?
Frank Ruperto: Sure. Thanks, Jay. And Mario, thanks for the question. So we saw an increase in the performance share unit component of that expense of roughly $20 million, and the result was an increase in the payout factor due to the better anticipated and actual performance relative to target. So those PSUs, based on the strong performance of the company, have reset to a higher level, and we took into account those incremental shares equivalents in calculating that number. The expense was offset slightly by decreases in stock options expense and restricted share units.  The 2020 PSUs will be evaluated for their performance factor adjustment at the end of 2021. But really, it was that increase -- a better-than-target performance to -- on those performance share units.
Mario Mendonca: I think you said it related to 2018 and 2019. So it's not the actual stock price, EFN stock price, that went up. It was, what, management's interpretation of performance relative to goals? Is that maybe the right way to look at it?
Frank Ruperto: That is a good way to look at it. It's actual performance and where those PSUs' performance were relative to target and our estimate on where those would pay out.
Mario Mendonca: And just for perfect clarity, what happened in Q4 that caused management to revisit this performance? Because presumably, it wasn't the performance in Q4. This performance would have been earned throughout the year. What was it about Q4 that drove the big increase?
Frank Ruperto: Yes. We looked at it at the end of the year. So we like to put a little bit of time in between the actual time that the grant is given and then get a real understanding of what the performance looks like so that we don't end up swinging performance share units back and forth. So again, that's why when we look at the 2020 PSUs, right, we're not going to look at a performance factor adjustment until the end of 2021.
Mario Mendonca: Okay. Real quickly. And maybe, Jay, my last question, if I could. Yes.
Jay Forbes: Sorry, Mario. Just the other factor that comes into play is, obviously, on LTIP awards and the finalization of the same. They're subject to Board approval. And so we want to bring a full accounting of the performance modification factors to the Board for their review and approval, which is part and parcel of the accrual process.
Mario Mendonca: Okay. And Jay, just my final question relates to revenue this quarter. So revenue was down 4% year-over-year this quarter. Your goal is for 4% to 6% revenue growth. So obviously, you see something meaningful changing in the next 4 quarters relative to what happened this quarter. Can you give me any guidance or a sense of what's going to be that much better in 2021 that didn't happen in Q4?
Jay Forbes: Yes. I think it -- we try to illustrate that in a number of different forms as part of our disclosures this quarter and indeed, in past quarters, Mario. The -- when we look at this, we think of the business, as we've talked before, as about rough, rough, rough $10 billion of gross revenue, $9 billion of cost of services and cost of financing to get you that $1 billion of net revenue that we report.  We've guided to you that syndication in and of itself is not going to be a contributor to year-over-year growth. And so you're going to be driving your revenue growth from both the increase in your gross lease, net financing -- or excuse me, gross financing revenue and your gross services revenue as well as a decrease in your cost of services and cost of funding.  And when you take, for instance, point billion dollars of debt under your balance sheet, that is going to be reflected in a lower cost of financing for the business, which, given our disclosures, is an offset to the gross revenues and thus, is a contributor to net revenue growth for the business.  So when we look at the recovery from COVID-19, when we look at the momentum that -- in the business in terms of growth in Mexico that has a 25% CAGR revenue growth figure for the last 3 years, grew 10% last year. When you look at ANZ and the growth that we've had there, grew 6% last year and is expected to grow much higher in 2021. When you think about the traction, the early traction that we're getting in the commercial efforts in Canada and the U.S., those are all key drivers for us in terms of the expansion of the gross financing and service revenue of the business.  And against that, we continue to work with our supplier network to drive down the cost of the services that we procure on behalf of our clients, which offers us an opportunity to reduce those cost of sales. And through the efforts of Izzy and the treasury team, reducing our financing load, reducing the cost of the financing instruments that we have as part of our balance sheet to drive down the cost of financing the leases of the business. And so that combination of factors gives us that pathway to the 4% to 6% revenue growth -- net revenue growth for 2021.  Is that -- again, this is an important topic to us. We've attempted to approach this a number of different ways in our disclosures. We want to make sure that it is indeed well understood. So anything that remains a bit of a question mark in your mind around that?
Mario Mendonca: Well, now that you ask, it's hard to imagine growing net financing revenue without some very significant margin expansion. And maybe that's the messaging that you're offering that I'm not picking up on. That the margins on -- the net financing margins or the NIM looks like it would have to expand a fair bit because the assets themselves don't look like they can grow that abruptly given the level of syndication activity we're seeing.  Or maybe I could just ask one final quick thing. Do you have a level of originations in mind? I'm sure you have a level of originations in mind. Is there anything you can share with us on the level of origination that's consistent with the 4% to 6%? Or is that not something that's maybe appropriate to discuss?
Jay Forbes: Let me come back to the first point that you made because I think it was a question asked and answered, and I'll do so by way of just lifting a quote from my opening remarks. Net financing revenue was $4 million higher in Q4 2020 than it was in Q1 of 2019 despite the fact that we have $2.3 billion of lower average net earning assets. So what we've been able to demonstrate is an ability to increase yield and so we are less reliant -- obviously, originations are a lifeblood to driving net financing revenue for the organization, absolutely. But it is only one piece of the puzzle. The other is yield.  And as you start to think about the pricing power that comes with the ability to deliver consistent superior client experience, the pricing power that comes with being able to drive double-digit growth in expanding markets and you think about the ability to expand margin by lowering the cost of your capital, both in terms of the amount of capital you're deploying and what you're paying for that, there are ample opportunities to drive yield and as a consequence, make up for some of the softness of originations that have resulted from the pandemic.
Operator: The next question comes from Geoff Kwan with RBC Capital Markets.
Geoffrey Kwan: My first question was just on the electric vehicle. I guess my question is more at a basic level, is, in general, based on everything that you know today, if you had a customer that had a gas engine fleet and they wanted to electrify the fleet, from a net income perspective for Elements, would that be neutral? Would it be positive? Would it be negative?
Jay Forbes: From what we know today, it would be positive.
Geoffrey Kwan: Okay. Okay. And just the second question -- sorry, go ahead.
Jay Forbes: No. And maybe just to give you a little bit of color on that. So from a macro point of view, it's quite indisputable that the complexities that arise with this shift in technology. And make no mistake about this, this is a tremendous shift in technology. And when we talk about the decade time frame, in our estimation, it is going to take the better part of the decade to build sufficient momentum, to build out the charging infrastructure, to develop the products to bring to market, to shift culture and to drive the right economics to facilitate this. It is going to be an extensive journey.  From a macro point of view, the complexity associated with this transition to this new technology is indisputably beneficial to FMCs and as a market leader, we think, very beneficial to Element.  As you get down to the specifics of it, Geoff, there is such a significant cost differential on the purchase price of the vehicle today that, that increase financing revenue that comes with that opportunity, the increased syndication revenue that can come from that opportunity, carries a great deal of economic benefit for an organization like ours. As we look at servicing income, these vehicles will still need to be maintained. Our estimation is they will run 2/3 to 3/4 of the cost of an internal combustion engine, or an ICE vehicle. And so the majority of expenditures are truly drivetrain-agnostic. Think about brakes, think about tires, et cetera. So from a maintenance point of view, there will be less maintenance required for these vehicles, but it will still be a material amount of expenditures for our clients. So that's a material revenue source for our business.  Accident management. Most of the accidents happen when the vehicle is stationery. Electric vehicle or ICE vehicle, in all likelihood, have at least the same rate of accidents. And actually, the repair costs for an electric vehicle are higher for a variety of reasons I'd be only too happy to get into. And so we expect that, that will be an ongoing source of service revenue for the business. Remarketing, telematics, registration, title, tolls and violations are all going to be independent of the drivetrain of the vehicle. And fuel, for us, is not a big source of revenue. It doesn't top -- our top 6 service revenues. And it might end up becoming a bigger source of revenue for us as we help these organizations deal with the proliferation of electricity suppliers across the geographies in which they operate.  And over and above that, there is -- we see new opportunities for revenue generation for managing tax incentive credits from governments, from installing and managing charging infrastructure at our clients' place of business or the drivers' homes, tracking mileage for government reporting and do excise taxes.  So yes, we are feeling rather bullish about the economic and environmental benefits that we can advance through the electrification of fleets. The caution that we put out is this is going to be a gradual evolution in technology. If one of our typical fleet -- service fleets came to us today and said we wanted to do a wholesale change-out, the vehicles aren't even available to them to do so. We can't procure them.  And so again, it is going to take a fair degree of time for this to mature in terms of the availability of vehicles and availability of charging infrastructure and the improvement of the economics to drive faster, more wholesale adoption of this technology. But we are very well positioned to benefit from this, both economically and environmentally.
Geoffrey Kwan: That's actually really good. My second question was around -- just with the new client wins. Like how would you describe the potential for more client wins as we look ahead to the next maybe couple of quarters, either new client wins or expanding client relationships? And then if -- maybe if you can talk about the progress on winning more self-managed fleets.
Jay Forbes: Strong. We're feeling very confident in all three regions in terms of the commercial efforts. So Mexico is off to a great start. They finished 2020 strong, lots of momentum. And despite COVID-19 continuing to plague their environment, they are off to a very strong start this year. And we have high expectations for them in terms of a return to that higher level of double-digit growth that we have typically seen from that organization.  So plenty of market opportunity and certainly the right team in place. Further, in past conversations, we've talked about OpEx and some increases around growth, and some of that going into the Mexico organization. And the team has done a great job of recruiting new talent, training that new talent. That talent is now being unleashed into new market opportunities that we haven't been able to approach given the limitations of talent. And so that gives us further conviction in terms of the growth that we'll see in Mexico in 2021.  Aaron and the team in ANZ, last year was the first year in which they embraced their growth strategy. They went at it hard and despite wildfires and despite COVID-19 posted 6% revenue growth in that market. And that was the first year of the strategy. They intend to go double-digit revenue growth this year. And again, early days, but we're seeing nothing that would be an impediment for them being able to achieve that.  And then closer to home, U.S. and Canada. Again, we have completed the transformation of the commercial group under David Madrigal's leadership. As we mentioned, these are long sale cycles, rough, rough, rough 10 months from time of identification to contract signing and an opportunity to begin to earn revenue. And so the efforts of last year, the second half of last year, are starting to appear in terms of some of the results that we communicated earlier today as well as some of the results that are continuing to mature here in this first quarter.  So feeling very good. I would say that the government sector has been a bit slower to move, understandably, given their focus is appropriately being placed elsewhere. So we haven't seen as perhaps as much opportunity to engage them in the conversation around the outsource of their fleets to our organization. But that has been more than made up by the interest that we're seeing commercially.  And some of the wins that we're seeing are absolutely steel, steel's share in terms of winning over mandates from our competitors. But we're also seeing a good evolution of the self-managed fleet opportunities. So the team has been quick to identify those, equally quick to qualify and advance those. And we've reported some in some of our jurisdictions, and we look forward to sharing some progress updates as part of our Q1 update to you.
Operator: The next question comes from Tom MacKinnon with BMO Capital.
Tom MacKinnon: First question has to do with the syndication yields that we saw in the quarter. I think it's like 3.86%, like 100 basis points higher year-over-year and even higher than that quarter-over-quarter. Is this sort of an indication of what we should expect going forward? Naturally, this market kind of jumps around a bit, but any kind of help you can give us with respect to that? So an increase in demand and lower investor hurdle rates. How do -- how is this shaping up in 2021? And is syndication yield around that level more or less attainable for you?
Jay Forbes: We had a very robust syndication returns for Q4. And they -- I would say that they weren't necessarily typical or indicative of the yields that you should expect on a go-forward basis. As you noted, the 3.86% was 1/3 better than what we have done in Q3. And even as we look at the year and the contribution that, that -- the fourth quarter made to the year yield for syndication of 2.69%, that was just slightly below what we would have done in all of 2019.  So no. When we first talked about syndication, we spoke of the yield will vary based on the assets that are being sold and the duration of those assets, the credit quality of those assets and interestingly, the time of year. And so recognizing that there's a fair amount of demand for these assets that carry a very attractive tax benefit in the fourth quarter, that generally creates a little bit more demand and a little sharper pricing on the parts of those wanting to secure those assets for their portfolio. So no, I would not point to that yield as being indicative of the yield you should expect on a go-forward basis.
Tom MacKinnon: I mean is it better than the yield we saw in the third quarter, though, on a go-forward basis? There's certainly an increase in demand and lower investor hurdles, I guess.
Jay Forbes: Yes. No. For us, the guidance that we have provided in terms of revenue growth and operating income and cash, we're going to stay within those parameters in terms of the guidance.
Tom MacKinnon: Okay. And the second question is on OpEx. And in the transformational summary that you put in the supplement on Page 6, it's like there's nearly $30 more million in terms of OpEx in terms of what you've actioned on and what you've delivered. So like how were we to read that? Does that mean if you have $100 million in OpEx, that your OpEx eventually could be -- that you reported in 2020, that your OpEx, assuming all the stuff that gets -- that's actioned and gets delivered, would be $30 million less assuming no kind of inflation? And over what time period would that be?
Jay Forbes: I apologize. I'm not quite sure what you're referencing. Maybe I'll let Vito jump in and talk specifically to it, but maybe just as an overarching comment. So we delivered $133 million of operating income benefit via transformation to the 2020 results. That was a combination of OpEx reduction as well as net revenue expansion from either revenue assurance activities or a reduction in our cost of financing and/or our cost of services.  So it's a combination of revenue enhancements and OpEx reductions that contributed to that $133 million of benefit to the 2020 operating income. And an important figure to cast one's eye on is the fourth quarter contributed $39 million of operating income improvement as a consequence of transformation. So you could extrapolate that, multiply it by 4, get your $156 million and reasonably assume that for 2021, operating income will be better by the $156 million minus the $133 million of 2020 for a $23 million improvement in operating income. Again, some of that will come from OpEx reduction. Some of it will come from higher revenues and lower cost of revenues.
Tom MacKinnon: Yes. I mean you just laid out all those pieces on the supplement. I was just asking a question with respect to one of the pieces on OpEx. But if I could just squeeze one more in. It has to do with the originations in the quarter. You note, if we annualize those and kind of try to factor in the fact that you've got some really good momentum running at least in January and February and March in 2021, we annualize the $1.4 billion, we're at $5.6 billion. If you look at how you've got increased momentum coming in those first couple of months of 2021, how should we be thinking of originations next year? Because I think that might be something that a lot of the other analysts are probably trying to work into their models as well.
Jay Forbes: Yes. Again, Tom, we've -- we think we've been rather fulsome in the guidance that we've provided you and your colleagues with regards to our performance next year and our aspirations around 4% to 6% revenue growth, high single, low double-digit operating income growth and an equal growth in our free cash flow available to our shareholders. So I won't get into the details around the syndication yields or origination numbers. Again, we think the guidance that we provided is sufficient to give you some guideposts in which to properly evaluate the performance of the business and to set expectations.
Operator: The next question comes from Jaeme Gloyn with National Bank Financial.
Jaeme Gloyn: I'll just keep it to one question here. Just thinking through the capital-lighter model and with the leverage right now at 5.7x. I think the Street and analysts and maybe investors are getting pretty comfortable with your ability to operate the business at this level. Are you -- like what are your considerations? Or are you thinking through the possibility of potentially increasing leverage as we become more comfortable with you operating here? Any thoughts around that?
Jay Forbes: Having just attained this, we'd like to live with it for a little bit. So it's fairly monumental for us to take this from 7.8 down to 5.7 over the span of the last couple of years.  For us, the work that we've done to understand our ideal capital structure and to attain the most efficient capital structure for the business, which strongly suggests in and around 6x tangible leverage, is where we want to be. And so plus or minus 6x is where we are targeting. Came up a little shy at year-end based on some favorable movement in the U.S.-Canadian dollar exchange rate, brought that a little lower than what we would have otherwise anticipated.  But we'd see no reason to move off of that objective of this -- in and around that 6x tangible leverage, again, recognizing that, that gives us the investment-grade balance sheet, which, in turn, gives us good standing with our clients looking to have their portfolio financed by an investment-grade entity. It gives us ready access to capital and a cost-efficient access to capital, which allows us to be more competitive as we look to convert self-managed fleets as well as to steal share from competitors.
Operator: There are no more questioners in the question queue. This concludes the question-and-answer session. I would like to turn the call back over to Mr. Forbes for any closing remarks.
Jay Forbes: Just want to say thank you. I appreciate your continued interest and support, and we look forward to conversing with you over the next couple of days to attend to any questions that we weren't able to get to tonight. Thanks, all.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.